Operator: Greetings, and welcome to the Simpson Manufacturing Co. Fourth Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kim Orlando with ADDO Investor Relations. Thank you, Kim. You may begin.
Kim Orlando: Good afternoon, ladies and gentlemen, and welcome to Simpson Manufacturing Company's fourth quarter and full year 2022 earnings conference call. Any statements made on this call that are not statements of historical fact are forward-looking statements. Such statements are based on certain estimates and expectations and are subject to a number of risks and uncertainties. Actual future results may vary materially from those expressed or implied by the forward-looking statements. We encourage you to read the risks described in the company's public filings and reports, which are available on the SEC's or the company's corporate website. Except to the extent required by applicable securities laws, we undertake no obligation to update or publicly revise any of forward-looking statements that we may make here today, whether as a result of new information, future events or otherwise. Please note that the company's earnings press release was issued today at approximately 04:15 PM Eastern Time. Earnings press release is available on the Investor Relations page of the company's website at ir.simpsonmfg.com. Today's call is being webcast and a replay will also be available on the Investor Relations page of the company's website. Now, I would like to turn the conference over to Mike Olosky, Simpson's President and Chief Executive Officer.
Mike Olosky: Thanks, Kim. Good afternoon, everyone, and thank you for joining today's call. With me today is Brian Magstadt, our Chief Financial Officer. 2022 marked a year of strong financial and operational performance for Simpson despite a challenging operating environment. I'd like to thank our team for their dedication towards our mission of building safer, stronger structures and their commitment to executing on our growth strategy. I'd also like to acknowledge Karen Colonias for her immense contributions to Simpson during her time as CEO and throughout her 38-year tenure with the company, including laying the foundation for this next chapter of growth. I assumed the role of Simpson's Chief Executive Officer at the start of the year, and I am humbled and excited to lead the team as we continue to focus on our company ambitions. I worked closely alongside the Simpson management team as we put together these ambitions, which we unveiled in the spring of 2021, and remain committed to achieving these goals. As a reminder, our ambitions are to: first, strengthen our values-based culture; second, be the partner of choice; third, be an innovation leader in the markets we operate; fourth, continue above-market growth relative to U.S. housing starts; and fifth, continue expanding our operating income margin and return on invested capital within the top quartile of our proxy peer group. Almost two years in, we are making solid advancements. We remain dedicated to being the partner of choice by maintaining our focus on customer service, which included a 97% product fulfillment rate in North America in 2022. This helped us earn business with new customers in several of our market segments. Our commitment to providing innovative solutions included the rollout of many new products, and in line with the ambition number four, I am pleased to report that we grew our North American volumes above U.S. housing starts in 2022. Our progress has been fueled by our key ambitions and has been made possible by our strong business model, which is built on five key foundational elements: first, our longstanding reputation, relationships and engagement with building code committees, engineers and architects to improve construction practices and [specify] (ph) Simpson solutions; second, our commitment to innovation, exceptional service and education for engineers, builders and contractors; third, our rapid delivery standards on a very broad product line across multiple channels with delivery to our distribution partners or job sites in typically 24 to 48 hours; fourth, our extensive product engineering and testing capabilities at our state-of-the-art labs; and fifth, our increasing diverse portfolio of solutions and products resulting in a one-stop shop for our customers. I'll now turn to an overview of our financial results, key growth initiatives and capital allocation priorities. Brian will then walk you through our Q4 financials and fiscal 2023 business outlook in greater detail. For the full year of 2022, Simpson generated net sales of $2.1 billion and earnings of $7.76 per diluted share. Our sales results reflect new customer wins, the impact of product price increases implemented throughout 2021 to offset rising material costs and $212.6 million contribution from ETANCO Group. We are pleased to have delivered these results, which reflect strong execution despite ongoing macroeconomic uncertainty, inflationary pressures and political unrest in Europe. In the fourth quarter of 2022, net sales totaled $475.6 million, an increase of 13.6% over prior year. In North America, our net sales of $368.1 million decreased 1.4% year-over-year. And as a reminder, during the fourth quarter, we fully lapped the impact of our product price increases implemented throughout 2021. In addition, volume in North America was down compared to the prior year quarter due to ongoing macroeconomic challenges. Looking at our distribution channels in greater detail. Volume for our contractor distributor and dealer distributor customers was down due to primarily moderating housing starts, which was partially offset by a slight year-over-year improvement in volumes from our home center channel. This includes both our home center and co-op customers, and is where we see much of our repair, remodel and DIY business. Turning to Europe. Fourth quarter sales totaled $103.7 million, which include a $64.9 million contribution from ETANCO and a negative impact of the strengthening U.S. dollar. The balance of our European operations experienced higher selling prices, partially offset by lower volumes resulting from the uncertain macroeconomic climate. Returning to ETANCO, we are pleased with the team's 2022 financial performance, which was in line with our expectations. We continue with our integration efforts, which remain mostly on track, and we look forward to continuing to benefit from our shared learnings in the coming year. We believe we remain well positioned to capture meaningful future gains from our previously identified synergies, however, the persistent macroeconomic climate in Europe will delay some of our offensive synergy opportunities. Despite macroeconomic headwinds, we are still confident our European business will continue to progress given how we now offer a broader solution set to our customers, along with the ongoing transition to wood construction and regulatory requirements that encourage new construction solutions. Our consolidated gross margin for the fourth quarter was 42.2% compared to 47. 4% in the prior-year period. Compared to prior-year quarter and before considering the addition of ETANCO, our gross margin declined, as expected, as our average raw material costs increased and also partly due to higher factory, overhead and labor costs. Brian will further elaborate on the key drivers of our margin performance as well as our margin expectations for the upcoming year. I'd now like to turn to a discussion on our end use markets, which encompass our key growth initiatives. We made solid traction throughout the fourth quarter in a challenging economic environment. Beginning with our commercial market. We are awarded a structural steel opportunity for a healthcare center in which our products will provide a means for bolted attachment of glass facades and temporary guard railings. As we had mentioned in the past, we anticipate our structural steel initiative will take longer to manifest versus our other initiatives as we continue to build the market. As part of our progress on this front, we held three large scale educational webinars during the quarter, which reached over 2,300 industry professionals to help increase awareness of our structural steel solutions among the specifying community. In the OEM market, one of our focus areas is mass timber. We are pleased to have been awarded a project in Connecticut for a four-storey mixed use building for apartments and retail space. The building will feature cross-laminated timber walls and floors, utilizing Simpson's Strong-Tie mass timber fasteners and connectors. Within the national retail space, as part of our commitment to continuous improvement, we worked to replace slow-moving SKUs with innovative new and existing products in stores, as well as make great strides in our-e commerce initiative. In building technology, we've made a couple of strategic investments focused on creating solutions to help our customers be more efficient. These investments are strong additions to our existing portfolio of technology solutions and reinforce our ambition to be the partner of choice by providing solution sets to our customers that help both reduce construction timelines and address skilled labor shortages. Now, turning to capital allocation. In 2022, we invested in the growth of our business, including $62.4 million in capital expenditures and returned 36.2% of our free cash flow to stockholders through the payment of $43.9 million in dividends and a repurchase of $78.6 million of common stock. In 2023, our capital allocation priorities will remain unchanged. We remain focused on organic growth opportunities, returning value to our stockholders via quarterly dividends and opportunistic share repurchases, and paying down the debt we incurred to finance the acquisition of the ETANCO. In regard to organic growth, we are focused on key investments to strengthen our business model, including our growth initiatives and the integration of ETANCO. We are also continuing to evaluate expansion opportunities, such as our previously announced Ohio manufacturing and distribution facility, as well as equipment investments to drive productivity and maintain our best-in-class customer service. As it pertains to M&A, while the continued integration of ETANCO remains our priority, we remain open to potential M&A opportunities that would accelerate our key growth initiatives and strengthen our business model. In summary, we are pleased with our strong fourth quarter and full year financial and operational performance. Looking ahead to 2023, in North America, the combination of increasing interest rates, ongoing inflation, labor shortages and macroeconomic uncertainty has resulted in softer market forecasts for housing. In addition, while we benefited from the impact of product price increases in fiscal 2022, based on current pricing conditions, we enacted a price decrease on the majority of our products in North America earlier this year. At the same time, we continue to operate in a higher cost environment, including factory, labor and overhead expenses. As Brian will discuss in more detail, these factors, as well as ongoing integration costs for ETANCO, will continue to pressure our operating margins in the year ahead, [though] (ph) we are expecting our margins will be ahead of the pre-COVID run rate. Nevertheless, we are committed to ongoing expense management and executing the areas of business that we can control. While the operating environment will prove challenging, we continue to believe that Simpson remains well positioned for success given our ongoing focus on expansion into new markets, the majority of which is not directly tied to U.S. housing starts, along with our strong balance sheet, solid market position and culture of Simpson colleagues who remain deeply passionate about our mission of providing solutions to help people design and build safer, stronger structures. We are confident in our ability to continue to achieve our company ambitions, including our goal to grow above-market relative to U.S. housing starts with profitability in the top quartile of our proxy peer group. Now, I'd like to turn the call over to Brian, who will discuss our fourth quarter financial results and 2023 outlook in greater detail.
Brian Magstadt: Thank you, Mike, and good afternoon, everyone. I'm pleased to discuss our fourth quarter financial results with you today. Before I begin, I'd like to mention that unless otherwise stated, all financial measures discussed in my prepared remarks today refer to the fourth quarter of 2022 and all comparisons will be year-over-year comparisons versus the fourth quarter of 2021. Now, turning to our fourth quarter results. As Mike highlighted, our consolidated net sales increased 13.6% to $475.6 million. Within the North America segment, net sales decreased 1.4% to $368.1 million, primarily due to lower sales volumes, partly offset by prior year product price increases. In Europe, net sales increased 150.3% to $103.7 million, primarily from ETANCO, which contributed $64.9 million in net sales, along with product price increases, partly offset by lower volumes and the negative effect of approximately $5.6 million in foreign currency translation. Wood Construction products represented 85% of our total fourth quarter sales, down slightly from 87%, and Concrete Construction products were 15% of total sales, up slightly from 13% Consolidated gross profit increased 1.2% to $200.7 million due to ETANCO and our gross margin was 42.2% compared to 47.4% last year. On a segment basis, our gross margin in North America decreased to 45% compared to 49.3%, primarily from higher raw material costs, factory and overhead and labor as a percentage of net sales, partly offset by prior year product price increases. Our gross profit dollars in Europe totaled $33.9 million and included $20.9 million from ETANCO, which is net of the $1.4 million fair value adjustments for inventory costs as a result of purchase accounting. From a product perspective, our fourth quarter gross margin on Wood products was 41.9% compared to 47.5% in the prior year quarter, partly due to the addition of ETANCO and was 42.3% for Concrete Products compared to 42.7% in the prior-year quarter. Now turning to our fourth quarter costs and operating expenses. Total operating expenses were $119.3 million, an increase of $17.9 million or approximately 17.7%. Operating expenses included $18 million attributable to ETANCO and another $2.7 million for integration costs. As a percentage of net sales, total operating expenses were 25.1%, a slight increase of approximately 90 basis points compared to 24.2%. Our fourth quarter research and development and engineering expenses increased 15% to $18.5 million, primarily due to increased personnel costs and professional fees. Selling expenses increased 25% to $44.9 million, primarily due to $6.7 million from ETANCO as well as advertising and trade show, personnel and travel-related expenses. On a segment basis, selling expenses in North America were up 9% and, in Europe, they were up 107.1%. General and administrative expenses increased 13.3% to $56 million, primarily due to $10.5 million from ETANCO, which includes $4.4 million in amortization, of the acquired intangible assets, partly offset by lower North America operating expenses, including stock-based compensation and professional fees. As a result, our consolidated income from operations totaled $78.7 million, a decrease of 18.9% from $97.1 million due to higher operating expenses. In North America, income from operations decreased 16.6% to $85.6 million, primarily due to lower gross profit, partly offset by lower operating expenses, including cash profit sharing, sales commissions and stock-based compensation. In Europe, income from operations was $0.8 million compared to a loss of $1.5 million, which includes ETANCO's operating income of $0.3 million, which is net of the aforementioned $1.4 million in inventory adjustments, $4.4 million of amortization expense on acquired intangible assets and $2.7 million for integration costs for a total of $8.4 million. As we continue to integrate ETANCO into our European operations, we expect to incur additional costs in 2023. On a consolidated basis, our operating income margin was 16.6%, a decrease of approximately 660 basis points from 23.2%. I will discuss our operating margin outlook for fiscal 2023 shortly. Our effective tax rate increased to 26.3% from 25%. Accordingly, net income totaled $57.6 million or $1.35 per fully diluted share, which is inclusive of $2.7 million of net interest expense. This compares to $69.8million or $1.61 per fully diluted share. Now, turning to our balance sheet and cash flow. Our balance sheet remained healthy. At December 31, 2022, cash and cash equivalents totaled $300.7 million, down $8.5 million from our balance as of September 30. Our inventory position at December 31 was $556.8 million, which was up $16.8 million compared to our balance at September 30, 2022. We'll continue to focus on effective inventory management to ensure we retain our strong levels of customer service and on-time delivery standards, especially given the rapidly changing economic environment. During the fourth quarter, we generated cash flow from operations of approximately $137 million. As Mike highlighted earlier, our primary uses of cash will be utilized to support the growth of our business while simultaneously repaying the debt we incurred to finance the acquisition of ETANCO, as well as returning value to our stockholders through dividends and share repurchases. Given our solid balance sheet position, and in line with our capital allocation priorities, during the fourth quarter, we repaid $100 million worth of the $250 million drawn on our revolving credit facility. At year-end, our debt balance was approximately $577 million and $300 million remained available for borrowing on our primary line of credit. During the fourth quarter, we invested approximately $20.8 million for capital expenditures, paid $11.1 million in dividends to our stockholders and repurchased approximately 47,800 shares of our common stock in an average price of $84.95 per share for a total of $4.1 million. In 2022, we repurchased $78.6 million of our common stock under our $100 million share repurchase authorization, which expired at the end of 2022. Further, our Board of Directors authorized the repurchase of up to $100 million of our common stock, which went into effect at the start of the year through the end of December 2023. Additionally, on January 24, our Board of Directors declared a quarterly cash dividend of $0.26 per share, which will be payable on April 27, 2023 to stockholders of record on April 06, 2023. Next, I'd like to discuss our 2023 financial outlook. Based on business trends and conditions as of today, February 6, we are initiating guidance for the full year ending December 31, 2023 as follows. We expect our operating income margin to be in the range of 18% to 20%. Key assumptions include: some anticipated softness in our top-line given slowing housing starts in the U.S.; the aforementioned price decrease on the majority of our connector products in the U.S. to most of our customers; cost of goods sold, which reflect steel costs coming down moderately from our weighted average peak in Q3 2022; increased operating expenses, we believe, are needed to continue to position the company to make meaningful share gains in our markets and growth initiatives not associated with U.S. housing; and a slightly lower ETANCO operating margin profile than the rest of the company, including intangible amortization, as well as $6 million to $8 million in expected ETANCO integration costs. Next, we expect interest expense on the outstanding $150 million revolving credit facility and $433.1 million outstanding term loan to be approximately $9.7 million, including the benefit from interest rate and cross-currency swaps, mitigating substantially all the volatility from changes in interest rates. Our 2023 effective tax rate is expected to be in the range of 25% to 26%, including both federal and state income tax rates, and assuming no tax law changes are enacted. Lastly, we expect capital expenditures to be in the range of $90 million to $95 million, including approximately $22 million to $25 million to be utilized for the previously discussed Columbus, Ohio facility expansion. In summary, we were pleased with our strong finish to the year as we continue to integrate ETANCO and make progress on our key growth initiatives to position Simpson for long-term sustainable growth and to increase stockholder value. While 2023 will have its challenges, we remain dedicated to our long-term strategy and strategic plan. With that, I would like to turn the call over to the operator to begin the Q&A session.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. And our first question is from Daniel Moore with CJS. Please proceed with your question.
Daniel Moore: Thank you. Good afternoon, Mike. Good afternoon, Brian. Thanks for all the color and taking questions.
Mike Olosky: Hi, Dan.
Brian Magstadt: Hello, Dan.
Daniel Moore: Thank you. I'll start with North America. Maybe just talk about the volume trends through the quarter, what you saw in terms of sequential cadence thus far into Q1 and maybe the magnitude -- some sense of the magnitude of the price decline or decrease you implemented in North America earlier in January?
Brian Magstadt: So, starting with the -- so, total volume in North America down about 7%. And as we look at how that quarter ended, it was trailing -- give me just a second as I get my note on my right number. So, pricing was about a 5% offset to that 7% decline. And as we look at January, Dan, the -- compared to January of '23 versus 2022, it's got a little bit of price, a little bit of volume in there, down in North America approximately 10%. The specific breakdown on volume versus price, I don't have that yet. But as we look at our price that we -- that price decrease that we implemented kind of mid-single digit percentage range on an annual basis, about $30 million.
Daniel Moore: Very helpful. I appreciate that. And maybe talk about your outlook for gross margin and operating income margin, and the cadence for the year embedded both for Q1 as well as any [gains] (ph) in there that sort of embedded in the fiscal '22 -- '23 guide of 18% to 20%?
Brian Magstadt: Yes, definitely getting better back half of the year on operating margin as we look at that range. So, Q1 continuing to work through that higher price steel that we indicated, we think, peaked in Q3 of last year. So, we'll see a little bit of impact there. But as we go through the balance of the year, we get the typical seasonality of a Q1 and Q4. I would expect that it's -- gross margins, like we typically see in Q2, Q3, definitely better. And then, from an operating margin perspective, that 18% to 20% guide, of course, will tighten that up as we go through the year. Also anticipate some of that ETANCO integration spend that range on -- that we gave in the prepared remarks of $6 million to $8 million gets us into that 18% to 20% range. But as we, again, looking through the year, we would expect operating margin to improve sequentially quarter-over-quarter as we're wrapping up the year.
Daniel Moore: Makes sense. Switching to Europe, the organic revenue, if you look at it, ex ETANCO, it was only down about 6% compared to a more -- bigger -- significant decline last quarter. Just talk about what you're seeing in commercial construction markets in Europe as a whole as well as specific geographies that are significant for ETANCO, Italy, France, et cetera?
Mike Olosky: Yes. So, Dan, it's Mike. Similar to what we see in the U.S., it's very much a mixed market. So, we still believe that some of the macro trends around regulatory requirements related to thermal efficiency gains are going to be a nice tailwind for us going forward. But right now, we are seeing a little bit more headwind in the Nordic area. We are seeing definitely more headwind in Eastern Europe. In our Western European business, so Germany and France, where we've got a nice sized business, is doing okay. And by that, I mean, really less negative. The market forecast for Europe are flattish this year, so we are optimistic that things are going to start to pick up.
Daniel Moore: Very helpful. Okay. And I think that's it for me. I'll jump back with any follow ups. Thank you.
Mike Olosky: Thanks, Dan.
Operator: Thank you. And our next question is from Kurt Yinger with D.A. Davidson. Please proceed with your question.
Kurt Yinger: Great. Thanks, and good afternoon, everyone.
Mike Olosky: Hi, Kurt.
Kurt Yinger: You guys -- hey, you talked about the price decrease on the connector side. Could you talk a little bit about pricing trajectory on fasteners a bit? And then, what kind of gives you confidence you won't see or need to take another step lower on the connector side just given the moderation in steel?
Mike Olosky: Yes. So, Kurt, may -- as you know, the steel price at one point more than tripled, then came back to half and then started to bounce back up again. And we continue to watch that closely because we need to -- we believe our products deserve a premium and we believe that we need to watch that premium closely though. So, when we look going forward, we are actively watching the market, but we are also very much emphasizing innovation. We're emphasizing service. We're emphasizing generating for our demand partners. And so, we're watching that whole equation closely as we go forward.
Kurt Yinger: Okay. All right. That makes sense. And then -- go ahead.
Brian Magstadt: And on the faster question, no real -- no price change on that.
Kurt Yinger: Okay, great. And then, Brian, in terms of the operating margin outlook, you kind of alluded to the expectation for some softening in U.S. housing starts. Is there any way to kind of ballpark what the underlying assumption is there?
Brian Magstadt: Well, we still aspire to -- one of our ambitions is to grow above that housing market like we had mentioned in the prepared remarks for 2022. But just thinking how we will perform against what is looking like the prognosticators are thinking is going to be a pretty choppy 2023 from a housing perspective. I'm not going to give revenue guidance, but we would expect to continue to see a bit of noise in this year's top-line impact on housing-related business.
Kurt Yinger: Okay. All right. Fair enough. And then, in terms of the ETANCO, is backlog something you track and/or is kind of significant there? And if so, what type of visibility does that give you into 2023 for that business?
Mike Olosky: Kurt, so ETANCO's business model is very similar to Simpson and that we try to get orders out the same day or next day to the majority of our customers. So, we are ongoing working with the contractors and all the people that are installing the facades and the water grouping systems just to get a general sense of how the business is developing, but we're not getting really longer-term orders and we don't really have an open order book or backlog for that business.
Kurt Yinger: Got it. So, even though the commercial side is kind of a longer, I guess, construction process, you don't necessarily have kind of the visibility at the front end?
Mike Olosky: Not in a way where you could put a KPI around it. No. I mean, we're getting a general sense because we're talking with those guys quite a bit, but not in a hardcore KPI to track. No.
Kurt Yinger: Okay. Makes sense. And then, my last one, just on EstiFrame. I know it wasn't a big deal, but can you maybe talk a bit about that business and how you're thinking about leveraging that with dealers and component manufacturers?
Mike Olosky: Yes. So, they are really a combination of a saw and a printer combined. And it's a relatively small system that can go to a job site or it can go to a component manufacturer. And the big thing here, Kurt, is that it cuts the lumber to the correct length and then it basically prints directions on the lumber. So, the thought process behind that what we've seen with EstiFrame is that it improves the efficiency of the construction site. They can just be faster or less -- they need less skilled labor, because it makes it a little bit more plug and play. And then, it also ensures that our products are used correctly, i.e., put the connector here, or put the fastener here, or put the anchor here.
Kurt Yinger: Okay. All right. Well, appreciate the color and good luck here in Q1, guys.
Mike Olosky: Thanks.
Operator: [Operator Instructions] Our next question is from Julio Romero with Sidoti & Company. Please proceed with your question.
Julio Romero: Thanks. Hey, good afternoon, Mike and Brian.
Mike Olosky: Hey, Julio.
Julio Romero: Just -- if you could talk about what you're seeing on the demand side in North America? I think, recently there's been some cautious optimism from new housing in January, just given the step down in mortgage rates, are you hearing any change in sentiment from your customers at all?
Mike Olosky: Julio, we were at the Builders' Show last week and I will say the high level, big picture we got from our customers in January was more optimistic than it was in the fourth quarter, but it's still very much again a mixed picture. So, customers that are in the West, they're seeing a significant headwind. Customers that are around the Florida area, they're seeing some -- actually, I think flattish to positive growth. We've got some areas around multifamily, we're feeling pretty strong about it. Some of our customers are doing build to rent, they're also feeling strong about it. So again, mixed picture -- and the upper end of mixed picture really is less negative to flattish type of growth, which is better than what we've seen and heard in the fourth quarter.
Julio Romero: Okay. That's very helpful. And on the cost side, just talk through how costs other than steel are trending in terms of other materials, freight, labor, et cetera?
Brian Magstadt: Moderating maybe a little bit, but it's still pretty challenging from those particular categories. Labor still continues to be a challenge. The availability of things like freight are getting better. I think cost have potentially softened there a little bit.
Mike Olosky: Yes, the [indiscernible] story is a little bit earlier, and, Julio, we have ongoing productivity improvement plans where we're working hard to try to offset those inflationary pressures as much as we can.
Julio Romero: Very helpful. Thanks very much for taking the questions.
Mike Olosky: You're welcome.
Operator: Thank you. And our next question is from Daniel Moore with CJS. Please proceed with your question.
Daniel Moore: Thank you again. Thanks for the CapEx guide. What are your expectations for working capital and free cash flow this year, especially after a really strong cash flow quarter in Q4 as you start to sort of unwind a little bit of that inventory?
Brian Magstadt: Yes, we would expect as we're looking at -- free cash flow ought to be a bit less due to the additional CapEx that we're looking at. Don't -- wouldn't expect any significant trends in other working capital items moving the needle significantly from, say, inventory turn perspective, DSO or DPO perspective. So, other than increased CapEx, I think, the rest of the other elements of free cash flow would move with the general cyclicality and operations of the business. Nothing unusual to call out.
Daniel Moore: Okay. And maybe the last one. Similar to last quarter, you said you wouldn't be opposed to M&A opportunities should they arise. Are you seeing more or less or sort of no change in terms of the opportunity set in this environment?
Brian Magstadt: No real change at this point. Again, we're in a very specialized business. So, these are pretty unique assets that we'd be considering and there's been really no major change.
Daniel Moore: All right. Appreciate it again.
Operator: As there are no further questions at this time, this will conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.